Operator: Good afternoon, ladies and gentlemen, and welcome to the Fourth Quarter 2007 Spire Corporation Investor Conference Call. (Operator Instructions) On the call with us today is Roger Little, the Chairman and CEO of Spire Corporation; Christian Dufresne, the Chief Financial Officer of Spire Corporation; and Mark Little, CEO of Spire Medical. I would now like to turn our call over to Christian Dufresne. Please go ahead, sir.
Christian Dufresne: Thank you, Joe, and good afternoon everyone. If you have not received a copy of our fourth quarter news release, which was issued today after the market close, or would like to be added to our contact list, please contact Sherryl Merrill Associates at (617) 542-5300. The news release also is posted on Spire’s website at www.spirecorp.com. Before we begin, please note that the various remarks that we may make on this conference call about the company’s future expectations, plans, prospects, constitutes forward-looking statements for the purposes of the Safe Harbour Provisions under the Private Security Litigation Reform Act of 1995. These statements are based on the current release and expectations of management and are subject to significant risks and uncertainties. Actual results may differ materially from those indicated by these forward-looking statements as the result of various factors, including those described in our annual and quarterly reports on file with the Securities and Exchange Commission. With that, I’d like to turn the call over to Spire’s Chairman and CEO, Roger Little.
Roger Little: Thanks, Christian. Sorry for the light on the—but our 2007 year-end results as I show on the press release were very good. We’re very pleased with them. We had an outstanding year, both operationally and financially. But before we get into the specifics, we wanted to—since it’s only our second call—we wanted to review some of our background a bit, to make sure all our listeners get a sense of where we’re coming from. We’ve been manufacturing solar energy equipments since 1980. We are the guys that make the machines that make the modules. We pioneered the concept of turn-key solar factories and we believe that more than 80% of the solar modules made today use some of our equipment. We’ve sold production lines and equipment customers numbering more than 200 and 50 countries worldwide. Our approach is to provide turn-key factories. These factories include all the manufacturing equipment, materials, technology and support to put a customer into the photovoltaic manufacturing business. So we put you in the business and we keep you in the business and we work to expand customers, production capacity, as well as, to backward integrate them. We start with modules and we are prepared to provide solar lines and wafer lines to our customer base. We’ve been doing this longer than anyone else and we have led the market with all sorts of technology and innovations. We’ve had over $100 million worth of R&D supported by the Department of Energy over our years in this business. Our Spire brand’s known throughout the world. If anyone walks into starting a solar photovoltaic company, they usually end up here looking at what we can do for them. Along with our solar activities, however, we have two other operations. They have good prospects. Our Spire Semiconductor operations have been in business for 20 years, making compound semiconductor devices, as well as, silicon devices. They represent our process technology for solar cells and early on they made concentrator solar cells using gallium arsenide and now we’ve reentered that market and have begun to work with customers for providing concentrator cells for their systems. Our Biomedical operations has been a market leader for the past 20 years in circuits treatments to improve the performance of medical devices that are implanted in the body, orthopedic devices, as well as, other devices. Biomedical subsidiary activities came out of our solar cell process activities. We use the same processing technology to treat a catheter or an artificial hip that we have used to make a solar cell, and the Biomedical group also produces an advanced line or hemodialysis catheters. All three of these businesses really evolve from a common technology platform of solar and we have talented people across the Board, engineers, as well as, scientific staff. So we really do have a unique company and we are focused as very high growth markets with our core technology. During the course of the year we’ll get into this in more detail. We put a number of initiatives in place. We’ve developed new products; we’ve hired new people; we’ve acquired new space; we put new systems for managing the operations in place. So it’s been a growth year, a dynamic year, for us and I will now turn the call over to Christian, who will go through the financial results of the year, and then I’ll be back to review some of the dynamics of the business and where we’re going in the future.
Christian Dufresne: Thanks, Roger, and good afternoon everyone. Revenues in Q4 are worth $13 million, a 175% increase from the $5.1 reported for the fourth quarter of 2006. This rapid growth was yield by a 375% increase with the sales of the solar manufacturing equipment. For the twelve month period, revenues increased 91% to $38,500,000 in 2007, compared with $20.1 million in 2006. In addition, the company recorded a $2.7 million gain from the sale of limited rights to utilize our trademark, the income tax benefit of $877,000, an extraordinary gain of $1.3 million, net of tax, on its equity investment in its joint venture, Gloria Spire Solar, LLC. Gross margins improved considerably for the fourth quarter, increasing to 25.6%, compared to 10.2% in the last year’s fourth quarter. The year-over-year improvement and margin in the quarter show an upward trend as we expect to see continued improvement now that we’ve completed the expansion of manufacturer build-out and our work floor that settled into the new space in their new town. The twelve-month period gross margin was $18.6 in 2007, compared to $11.3 in 2006. The Selling General and Administration Expenses was $4 million, or 31%, of the total revenue in the fourth quarter, compared with $2.5 million, or 49%, of the total revenue in the fourth quarter of 2006. For the twelve-month period of 2007, SG&A was $13.2 million, or 34%, of total revenue, compared to $9.7 million, or 48%, in total revenue for the twelve months of 2006. We expect that SG&A will continue to decline as the percentage of revenue of sales continue to grow. We have increased our sales force and marketing efforts in our solar equipment production product lines. Income from Operations was a loss $718,000 for the fourth quarter, compared with a loss of $2.1 million for the fourth quarter last year. For the twelve-month period, loss from Operations was $3.7 million, compared with $8.3 million for the twelve months of 2006. The 2007 results included the gain from the sale of a trademark for $2.7 million. Other expenses, including Interests, were $95,000 for the quarter compared with income results, including Interests, of $31,000 for Q4 a year ago, reflecting Interests Expense from the line of credit we took out to buy in capital expansion of our Spire Semiconductor, along with lower income because the company held lower cash balances and also the equity loss in the company’s joint venture. We did not have effective tax rate in the fourth quarter as the company is in a loss position for the year. The company did report a tax benefit of $877,000, which was the tax portion of this extraordinary gain on its unconsolidated investments and Gloria Spire joint venture. The company does have an NOL to apply against future income as it goes forward into the next year. Net loss for the fourth quarter of 2007 in total was $830,000, or $0.10, for diluted shares, compared with a net loss of $2.1 million, or $0.26, per diluted shares for the same period of 2006. For the twelve-month period net loss after extraordinary gain was $1.7 million, or $0.20, per share, compared with $8.2 million, or $1.03, per share for the twelve-month of 2006. The improvement in net income for both the fourth quarter and the twelve-month period were due to increased product sales, improved margins and gains from the glorious solar transactions, offset by an increase in sales and marketing expenses. In terms of the balance sheet are cash, cash equivalents, and sure tran vestments in the 12/31/2007 were $2.5 million, compared to $4.8 million on December 31, 2006. The decrease in cash and cash equivalents was primarily the result of investments made in our ongoing expansion of our business. Accounts Receivables were $12.8 million compared with $4 million at December 31, 2006. Inventories and Deposits on Inventories were $21 million at December 31, 2007, compared with Inventories and Deposits on Inventories at year end of 2006 of $6.8 million. This is primarily due to increases in the solar equipment group. Solar fails to order what customers place a deposit. Short-term Customer Deposits and Advances were $23,600,000 at December 31, 2007, compared with Customer Deposits at year end 2006 of $6.4 million. These represent the portion of contract where the company expects to deliver over the next twelve months. Typically, the company receives deposits ranging from 20-35% upon signing before work commences. To improve liquidity, the company has just signed a new $5 million revolving line of credit with its bank, Silicon Valley Bank. This is in addition to the $3.5 million term loan that we currently have with Silicon Valley. We’ll use the line of credit for general working capital purposes over the next year. With that, I’ll turn the call back over to Roger.
Roger Little: Thank you, Christian. So you can see from the numbers, we did have a very good year and we kept four consecutive quarters of record revenues in sales for the year. For the year, the total sales almost doubled that of 2006. So this represented triple digit growth over the year 2006 mostly due to turnkey solar factories and manufacturing equipment. The dynamics of what’s going on in our marketplace are that in 2006, there was the emergence of a short supply of poly-silicon, the basic material which is used in making crystal and silicon modules. In several manufacturers hesitated in expanding capacity. However, as new capacity was announced throughout the world, people began to enter the business, new people, as well as, existing manufacturers. In anticipation of the poly-silicon availability increased and expanded their capacity. So today, we’re looking at our growing market in 2007. It grew substantially for capital equipment and turnkey factories and with the projections of the latter part of 2008 and 2009. Significantly, new poly crystal and silicon coming online, we expect that the market will continue to expand at what’s been reported as a 40-45% growth rate in 2007. And when the poly silicon reservoir dam breaks and the poly flows out, we expect that the cross poly silicon will drop from whether it’s now $400 per kilogram down to long-term supply contract values of $50-60 per kilogram. We expect that the price of modules will decline and this will drive the market even faster than it has been in the past. So, we’re anticipating significantly large market growth to continue all the way through 2009 and then to 2010. What’s required, of course, for the manufacturing to grow is capital equipment and we find ourselves in a position where we can be responsive to that. Along with the decline, or slowdown, in expansion associated with crystal and silicon, we did in 2007 experience growth in this income area. Our revenues break down about 20% of thin films technology and about 80% in crystal and silicon technology, which is pretty much what is produced in the wafer produced in the world. The world’s capacity was something like 2.5 giga-watts in 2007 and enough to power 2,000,000 homes and modules today and demand for them continues to outstrip the supply. One area we’re taking advantage of is the weak dollar since we have provided more than forty turnkey factories, most of which are international. We’re taking advantage of the weakening dollar. Our revenue breakdown for 2007 was pretty much—two-thirds of it was international sales. We provided turnkey factories to Spain, Portugal, Korea, Russia, the Caribbean, as well as, expanded factories in the Far East and in Europe. What we do is, as you know, put people in the business and try to keep them in the business so the expansion of certain factories really is significant for us. When customers come back it means they’re successful and we continue to grow with their success. We provide equipment, as you know, and materials and supplies and services. We actually help customers qualify their modules under Underwriter Laboratories requirements. So we really feel strongly about our “put you in the business and keep you in the business” approach. In order to respond to our growth, we made significant investments. We’ve added more than 50,000 square feet of manufacturing space for the solar equipment. We also added many new people. We just about doubled our headcount. Right now, we’re trying to get everything running as smoothly as we possibly can in order to provide quality equipment on a timely basis to our customers. We instituted a number of systems in terms of manufacturing and control of materials and inventories, and we continue to invest in upgraded IT and made major investments in Sarbanes-Oxley compliance requirements. Christian mentioned our margins improving. We’re very pleased with that. We think they’ll continue to improve. With volume, we think that our overhead structure is just about fixed and it will allow us to bring more of our revenues to a positive side of our P&L. In the future, we’ve developed new products. They’re all based upon what we call a 100 mega-watt per year building block line. We’re positioning ourselves to experiencing more growth as the industry grows and a continued maybe 30-45% rate in 2009. A building block 100-watt per year factory is involved with all kinds of automation and it also provides a pipeline for improving individual pieces of equipment. On Tuesday or last week, Spire had a webinar on manufacturing PD modules and factories. This is available at our website. You can go to our website where you’ll find the link and you can see the details of our building block 100 mega-watt factory, which will be used to expand our customers. It will be used to provide a pipeline for advanced equipment. It will be used as stand-alone manufacturing facilities in regional markets. There’s reason to believe that rather than continue to build bigger and bigger centralized module manufacturing facilities, there’s a cost advantage to putting 100 mega-watt regional module assembly facilities in place near where the market demand is. We’ve already manufacturing our first—it’s a 50 mega-watt, totally automated line with extensive robotic systems and it is to be delivered in the Fall to our customer in the Martifer Group in Portugal. This will provide a basic technology needed to go further with these advanced new products. And as I mentioned where we continue to vertically integrate our customers, we’ve received a sale order from a module manufacturing customer. We’ve received expansion orders for a number of module manufacturing customers, both in Europe and in the Far East. We’re currently quoting integrative module cells and wafer lines for production up to 250 mega-watts per year. Also during the year, we’ve renamed our Optical Electronics group from Bandwidth Semiconductor to Spire Semiconductor, to better communicate that it is indeed in our solar directions. Early in the development of that operation, Gallium Arsenide, we told ourselves we’re profuse from the technology and resides and the people and engineers there and with the interest in Gallium Arsenide concentrated systems now, we have begun to offer development services to a number of customers to provide special Gallium Arsenide concentrated cells for their collector systems. We now have a significant backlog of orders which represent an opportunity for growth to a manufacturing level. In 2007 we were also able to put into place a number of new large volume Epitaxial field reactors, which were used for many of the Gallium Arsenide products, as far as semiconductors. By putting these reactors in place, we gave ourselves the capacity to produce the equivalent of 50 mega-watt of 500 multiple junction concentrated solar cells. So we’re positive about the direction of what Spire Solar is doing and where they’re going. In terms of Spire Biomedical activities, we continue to leverage its market leadership. Spire Biomedical uses ion implant technology and other circuit treatment technologies which we originally developed for high efficiency solar cells. And what we do is it improved the surface conditions on devices that go in the body and they perform better and we avoid wear on ortho-devices and infections in some cases. We also took advantage of our unique surface engineering technology to introduce a line of hemodialysis catheters which have special surface treatments and they call it the Decathlon Gold series. They represent the most advanced catheters available in that marketplace. The sales of those catheters increased by something like 20% in 2007. So let me just summarize by saying it’s been a busy year for us. I think that we made substantial progress. We grew substantially. We’re getting more efficient. We’re getting our house in order. We continue to strengthen our brand name worldwide and we’re determined to hold our market position with turnkey factories and manufacturing equipment. We’re looking forward to the future and we’re prepared to respond to the demands of the market. So with that, I would ask the operator to open up the call for questions.
Operator: Our first question is from Brian Yerger with Jesup & Lamont. Please go ahead with your question.
Brian C. Yerger – Jesup & Lamont: Good evening, gentlemen. Can you hear me?
Christian Dufresne: Yes.
Brian C. Yerger – Jesup & Lamont: Okay, sorry about that. I just had a couple of questions on the back loan, just to try and clarify a little bit. Number one, what is the turn around from order to delivery for your equipment?
Roger Little: Generally, we try to get a turnkey factory out in six months. Module factories—we can do that, especially startup module factories, at a nominal production of twelve mega-watts per year. The larger factories we need to go to nine months and for cell factories we need to go to nine months but we do have a lot of activity here and a lot of machines being built. Our goal is to maintain those delivery schedules.
Brian C. Yerger – Jesup & Lamont: Okay, great, so your percentage of customer deposits—we’re looking at 20-35% in terms of getting a view on your backlog—is the 20-35% a range of your required deposits or is that just the average of what you get in as you get the orders?
Roger Little: It’s the negotiated amount.
Christian Dufresne: But it ranges depending on the type of equipment and again the negotiation, so it ranges on a customer per customer basis.
Brian C. Yerger – Jesup & Lamont: Okay, I got you. What is the percentage of that—let’s say customer deposit—applied backlog solar?
Christian Dufresne: Most of that is all solar except for a portion with respect to our bio-semiconductor.
Brian C. Yerger – Jesup & Lamont: Okay, so a little bit on the semiconductor side. Okay. I guess just one other question and I’ll jump back in the queue. On the Gloria Solar JV, what’s the target size of a normal—I say you had one in the queue that was around 300 kilowatts—is that the normal size in which you’re looking for?
Roger Little: We’re bidding on a lot of different things but yeah, not all the way down, of course, getting this operation started. We’ll go down to 20 kilowatts and we are, on the other hand, positioning ourselves for some larger systems. We did bidding on a 20 mega-watt system with a PPA hookup so we’re building all that infrastructure now to compete for even larger systems.
Brian C. Yerger – Jesup & Lamont: Okay, great. I guess one last question and I’ll jump back out. On the contract manufacturing side—do you have any backlog there yet? For the cells?
Roger Little: Oh, the concentrator stuff. Yes, we do have a significant backlog that we’re really pleased with the way it’s growing. And it will be a significant contributor to the revenue this year so yeah, we’re very pleased and as you may know, there’s a big show in Spain as we speak. There’s people there with a booth and all.
Brian C. Yerger – Jesup & Lamont: Terrific. Okay, I’ll jump back in the queue. Thanks.
Operator: Our next question is from Robert Littlehell with Bernstein’s. Please go ahead with your question.
Robert Littlehell - Bernstein’s: Hey, Roger and Christian. The Ino well, cumulatively speaking, is how much at this point?
Christian Dufresne: It’s around $6.4 million.
Robert Littlehell - Bernstein’s: And the demand for the concentrator systems is—is that also kind of more internationally skewed than domestically or you see more domestic interest?
Roger Little: That’s pretty much mostly domestic. It’s stimulated by the Department of Energy’s awards from the Solar American Initiative Program. They awarded a number of companies’ concentrator system programs and so we’re working mostly with domestic suppliers, although I would say it’s we’re at one-third international and domestic for crystal and silicon. We’re probably 20% international for concentrators.
Robert Littlehell - Bernstein’s: Great. Thank you.
Operator: As a reminder, if you would like to ask a question, please press *1 on your telephone keypad. The next question is from Akshay Kuvari with SVL Capital. Please go ahead with your question.
Akshay Kuvari - SVL Capital: Good evening, guys. Company’s had a good quarter. I had a question again on the backlog number. Tell me if I’m doing my math wrong here but you said the consumer deposit are $23 million and you are typically take about one-third of the total project and you finish it within a year. Are you expecting any revenues going forward in 2008?
Roger Little: You’re doing your math correctly.
Akshay Kuvari - SVL Capital: Okay, and I just have a question on the solar business again. Is it possible to get the gross margin on that business?
Christian Dufresne: We don’t report it out and it is contained in the—I don’t have it reported out.
Akshay Kuvari - SVL Capital: Okay, and one last question regarding the numbers on the customer concentration of this year in the quarter?
Roger Little: Customer concentration—I’m not sure what that means.
Christian Dufresne: Generally, if you’re looking at RK, we did have one customer that was about 15% and the way we would also describe it is that on a customer concentration, we had two countries that really dominated the solar, and that was Spain and Taiwan.
Akshay Kuvari - SVL Capital: Okay. Perfect. Thanks, guys.
Operator: Our next question is from Adam Hutt from Leviticus Partners. Please state your question.
Adam Hutt - Leviticus Partners: Hi guys. Congratulations on a decent quarter. Biomedical—I don’t think anybody addressed that—any potential contracts to talk about? There’s got to be something good happening there and the potential to spit it off. Any progress in this area?
Mark Little: Adam, I’m Mark Little. How are you?
Adam Hutt - Leviticus Partners: Hi, Mark.
Mark Little: Nothing reported as of yet. We’re looking at our strategic options when it comes to both sides of business. One of the things I report on the capital side is we feel good about the growth. I think we showed about a 20% growth year-to-year on the capital side of our business. The challenge that we have with that is we have 8% of our business coming from 20% of our sales force. The 20% of the sales force that’s doing well is doing really well. We get a 50% increase from all of those decent distributors. It’s all about just trying to find solutions for the areas that aren’t doing so well. So, we’re looking at that and we’re trying to discover any strategic opportunities outside of just improving the business in general.
Adam Hutt - Leviticus Partners: Gotcha. Thank you, Mark.
Operator: Once again, if you’d like to ask a question, please press *1 on your telephone keypad. The next question is from Brian Yerger with Jesup & Lamont. Please go ahead with your question.
Brian C. Yerger – Jesup & Lamont: Hi, guys. Moving back to solar for a second—I’m sure that everybody gets this question in front of you guys—when do you see the poly silicon supply loosening up from your advantage point?
Roger Little: Well, certainly it’s going to be a dam breaking in 2009. I think we’ll see some of it loosening up towards the end of the lake.
Brian C. Yerger – Jesup & Lamont: Okay, so you did see some loosening towards the end of this year?
Roger Little: Yes.
Brian C. Yerger – Jesup & Lamont: Okay, terrific, and obviously that’s going to help you out looking to 2009 and 2010. I guess that leaves my question to when we’re looking out a little bit further—very bullish on solar in general—but at a certain point everyone’s going to have kind of their equipment set up and ready to go. How do you see the equipment side of the business a little longer term—let’s say in 2010, a little bit further out?
Roger Little: Well, it’s going to be driven by the market, obviously, and we’ve seen the market has tremendous opportunity for growth. I think most of the market research people that focus on the German market and the Japanese market, but we see emerging markets in United Arab Republic and China’s got to do something, and even domestically, obviously, there’s a big opportunity here as soon as we get the federal tax credit to continue for more than a year. So, we’re very positive on the overall growth of the market and we think there are so many opportunities that are emerging, and that will drive the equipment market. Our job is to provide the world’s best equipment and be responsive for the customers and I’ll think we’ll be okay.
Brian C. Yerger – Jesup & Lamont: Okay, great. Who would you consider your largest competitor on the equipment supply side?
Roger Little: It would be NPC in Japan.
Brian C. Yerger – Jesup & Lamont: And they’re obviously penetrating these other merging markets also? Are you running into them in terms of your P’s and the little small quarters of the world?
Roger Little: We have the line share in the market for two start-ups because we offer such a broad package. They compete on individual pieces of equipment pretty aggressively but you know I told the sales guys here the other day—the end went from one tenth to 100 that we just cut our prices 10% so get out there and sell. That’s what I believe that our weakened dollar position is a tremendous advantage for us in competing with NPC and anybody like that.
Brian C. Yerger – Jesup & Lamont: I gotcha. Thanks a lot.
Operator: Our next question is from Pana Kalogeropoulos with Eaton Vance. Please go ahead with your question.
Pana Kalogeropoulos - Eaton Vance: Hi guys. How’re you doing? Congratulations on a great quarter. I just have a couple of questions. I was wondering, first of all, in terms of customers in Taiwan for example, or any region where you have more than one customer or looking to get more than one customer, do you see any customers luring you to other people that might be interested?
Roger Little: Yeah, we think that happens all the time. Taiwan—let me think—yeah, in fact we received an order here the other day as a result of a recommendation to this new company from a company we provided a module line to, so can’t ask why they would do that in a competitive world but it does occur.
Pana Kalogeropoulos - Eaton Vance: Okay, great, and another question I had was regarding servicing the lines you put in and keeping them going, do you think that you’re going to have to build out your service and support infrastructure a little more, maybe hire more people for that?
Roger Little: We did. We hired almost 75 people last year which included five or six new service people, so we have eight service people that work out of here. We’re also looking very seriously at an office of our own which includes service in the Pacific rim, and the factory just hired an individual who was an ex-Patriot of Taiwan, who is being trained here and his direction is to go back to Taiwan and run a Spire office which includes service out of Taiwan.
Pana Kalogeropoulos - Eaton Vance: Okay, so then when you provide service for a customer in Spain, for example, it’s being done by people who are based out of the US?
Roger Little: Yes, that’s correct. In Germany, we do have a stronger presence—our representative in Germany has also service capabilities and we have service companies out of Singapore, but most of it comes out of the US.
Pana Kalogeropoulos - Eaton Vance: Okay, and then one last question. You mentioned the US market and you’re waiting for the investment tax credit to be extended. I was wondering what sort of indications of interest have you gotten from our potential customers because, obviously, the US market could be pretty big for you guys?
Roger Little: Well, it’s huge. I think the activities in marketing in that arena are substantial. I think, as you know, if you can’t get the system in before the end of the year, however, you don’t get the tax credit. So, it’s like another dam being built there and we anticipate that dam to break with the people in Washington. We expect it will be extended another year or two before it expires, but we really need it for a longer period than that. And, we expect that will happen next year.
Pana Kalogeropoulos - Eaton Vance: So, if we got only a one year extension, that wouldn’t be enough for customers to have visibility enough start ordering?
Roger Little: Well, no, I wouldn’t say that. It wouldn’t improve the marketing situation but obviously, if we got a ten year or an eight year extension, it’ll make a big difference.
Pana Kalogeropoulos - Eaton Vance: Okay, great.
Roger Little: A year will help.
Pana Kalogeropoulos - Eaton Vance: Great. Thanks a lot.
Operator: Our next question is from Akshay Kuvari with SVL Capital. Please state your question.
Akshay Kuvari - SVL Capital: Thanks. Just got a follow up to—trying to understand the margin a little better. Is it possible to break down for the quarter the revenues that come from sales, manufacturing, and the resource services?
Christian Dufresne: I was about to say that our research R&D was only 3% for the entire year so it was very small percentage of our revenue.
Akshay Kuvari - SVL Capital: Okay, and the margins are pretty impressive this quarter or 25%. Do you expect to maintain that for next year? And if you look at the margins from sales manufacturing, is that a good proxy for the solar margins?
Roger Little: Yes, that’s what it is and I think you just about got it right. We expect it to improve because we feel that we’re in the overhead structure. As the sales base increases, that overhead structure will not increase proportionately so we have a very low overhead structure. So, it should lead to better margins than what we’ve just experienced. So I think we’re on the right track.
Akshay Kuvari - SVL Capital: Okay, because I was looking at the last few quarters and it has been all over the place. So, just wanted to see how it’s going to be maintained over the next year.
Christian Dufresne: Well, we’re planning on having this level of margin for the next year.
Akshay Kuvari - SVL Capital: Great. Thanks a lot, guys. I appreciate it.
Operator: At this time, we have reached the end of the Q&A session. I will now turn the conference call back over to management for any closing or additional remarks.
Roger Little: I think we covered what we wanted to cover. I do recommend people to take a look at our website and go to that link to hear more detail about view of the market growth the equipment needs, and our product pipeline. Other than that, we thank you for your attention and we look forward to speaking with you when we report out the first quarter. Thank you very much.
Operator: And that concludes our conference call. Thank you for joining us today.